Nils Andersen: So, good morning, everybody. It's now 9:30 AM. Thank you for joining the A.P. Moeller - Maersk conference on Q1. It's, of course, a very small quarter, so we appreciate that you take the time to listen into this. So, if we go straight to the forward-looking statement on page 2 and then while you read that, I'll just give a little bit of flavor to the accounts as we see them. We appreciate, of course, that the markets are in a very bad situation. We've gone through Q1 where oil prices, I can't say that they bottomed out, but at least they were lower than even today, down around $30 a barrel during most of the quarter; so that was tough and, the shipping rates were record low in Q1. They, by the way, are still very low. So we've gone through a difficult quarter from a market perspective. Nevertheless, we improved the results versus Q4 last year, coming out with a small profit and we're pleased with that. Most of our businesses are still making money. The two that are not is Maersk Supply Service, due to the very poor ordering situation in the sector; and Maersk Oil, due to the very low oil prices, but I'll come back to that later. And then also opening up, also very important to underline, that despite the fact that we bought back shares that we also completed on two acquisitions in terminals and oil; and the poor operating result; and also, some negative developments in working capital and payment of -- the result of an arbitration, we still had a very, very strong financial position with a debt of $10.7 billion and equity of $36 billion. So, still very healthy and ready to use that force as we go through the year. Also maybe upfront, we also, in this Q1 report, normally publishes our reserve situation and the development here has been very positive as well. So we feel that within the possible, we actually delivered a pretty good performance and, hopefully, you'll be satisfied as well. Let's go page 3, the financial highlights. The profit for the quarter was $224 million and the underlying profit in the same level, $214 million, of course, significantly down from last year, not surprising given the oil and container rate development. The free cash flow, as I alluded to before, has been impacted by the payment of acquisitions and some other investments. Also, normal movements caused by the relatively poor results or the deterioration in the result. And then it is the first, the Q1 where usually I think in most companies, you run a cash drive during Q4 and then you see some flow back in Q1; so nothing unusual in that. Going through the underlying profit by activity, it's the main impact on profit or the drop in profit comes from Maersk Line, dropping from $700 million to zero basically or breakeven; and Maersk Oil going down from $200 million to a slightly negative result. Actually, better than we expected for Maersk Oil. APM Terminals down on the -- and I'll come back to that, of course. But background is a continued deterioration in the oil exporting markets. They own most of them, have no money for imports, so you see massive trade impacts in those countries. APM Shipping Services, in line with last year when you take into account that Maersk Supply Service is impacted by the ordering situation. Maersk Drilling up compared to last year, jumped that, sorry, is up on last year, partly due to good operations, of course. They're still delivering strong underlying result, but also because we had to take some profit from a cancellation or yes, a cancellation from a rig contract from Chevron in, related to our Angolan rig, so it moved some profit from the last quarter to the first quarter, but underlying, a result which is still very strong on the back of a good order book. So as I said before, we maintain a strong financial position, in addition to the strong equity and still relatively low debt. We also maintain a very strong financial preparedness with a liquidity reserve of around $12 billion. And, we completed our share buyback program, buying back around $500 million-worth of shares in Q1. Of course, we paid our dividend. We maintained our dividend the same as last year. So, moving into the individual business units. On page 4 you have the Maersk Line result. It's a breakeven result which is a small profit despite a very, very tough market situation. The background for that is, I think, there are a number of effects, but, first and foremost, that we increased our volume by approximately 7%. I received a question earlier today from the press, well, that was not slightly more than defending our market share position. It is, but don't forget that we actually did lose some share in the first quarter last year and we gradually regained that during the year last year. So probably the 7% growth is more of a, let's say, a short term development. But we're still keen to at least maintain our market share. Our capacity grew by 2.2% compared to last year and a little bit also compared to last quarter, but less than volume. So our capacity utilization has improved and that means that our cost has gone down. I'll come back to that on next page, because we also managed a pretty good cost reduction program. Rates are down 26% compared to last year. These are record low levels, on the back of also pretty weak trade developments in most countries for our competitors. We still maintained in Q4, we've now got the final figures, our 5% margin gap on EBIT level to our competitors. And, we delivered a free cash flow in Q1 of $73 million, even though the working capital did not develop superbly. So Maersk Line's cost situation is on page 5. Essentially, the combination of a 10%-unit cost reduction, of which part is caused by lower bunker, but there's also other reductions, combined with a 7% growth in volume, gives us a 16% reduction in unit cost. This is, I think -- it's also a little bit more than the trend we normally would have. But you may recall, those of you who listened in on the full-year conference, that we were not quite satisfied with the unit cost development in Q4 last year. I think there was some -- probably some pent-up effects from the savings there. So a good result on the cost level. Of course, bunkers have had an impact, so if you compare the social reduction of $389 million, the bunker impact of that is almost half. So that's the way it works, goes in the right direction and we'll, of course, continue to work on reducing the cost. Moving over to Maersk Oil, we're actually quite satisfied with the development in Maersk Oil. We're happy our expectations on cost reductions and production. That means that our break-even cost has moved down from the $45 to $55 we said at the beginning of the year, down to $40 to $45. So, that's a clear improvement. Of course, we don't give a specific guidance for the annual result, but it means that, given that oil prices are where we're today, we're quite optimistic that we'll get a result around zero. So that's improvement compared to last year. Not much more to say here. We had a dispute settlement, that means that the operating cash flow turned negative in the quarter. We've also had some discussions in the press on the future of production in Tyra West and Tyra East. The background for that is that the platforms are sinking. We have been taking gas out of the ground for so many years that there is a space to fill, so that means the platforms have been sinking. Therefore, given wave heights and the need to maintain safety levels for our employees at all times, it means that we will discontinue operations in 2018 unless we reinvest in the field. In order to make that financially viable, we have taken up discussions with the government and we'll see what comes out of it. Of course, we hope that we can continue, but if not then that will be closed down. We also completed, as I said, before our acquisition of the licenses in Kenya and Ethiopia from African Oil and, we completed the divestment of the small producing Polvo Field in Brazil. Also repeating a little bit from the opening remarks, the situation on reserves and resources is presented on page 7. Starting from the top we have the 1P reserves have gone up from 327 million last year to 408 million this year. In addition to that, before coming to the 2P reserves, also the probable reserves have gone up from 183 million to 241 million; so too, 2P reserves from 510 million to 649 million. It's important to underline that these reserves are excluding the reserves in Qatar beyond mid-2017. So, of course, an extra hard work to replace reserves that we produce, because we do produce quite a bit in Qatar and when we can't include the reserves after 2017 we need to do more in the rest. We've done that during last year by starting up the projects in Culzean and Johan Sverdrup, so the reserve replacement ratio is actually 171% which is, of course, an excellent result. The 2C reserves have declined compared to last year; the contingent resources as their called. The background for that is partly that we've taken some reserves from there -- resources and developed them into reserves at Culzean and Johan Sverdrup. But also, because the lower oil price means that some of our oil resources are no longer feasible and, therefore, they have been excluded. That was that on reserves and resources, but a good healthy development. Of course, we've now acquired the resources in Africa Oil which will come in next year and, yes, we think that we have a good development there. If we go to APM Terminals. This is, of course, still a very profitable business, but we do have a significant decline from last year. Our ROIC is going down, so 6.2% against 12.9% last year. Really, the background for that is exclusively the troubles that our important operations in West Africa or Angola, Nigeria to be very specific, Russia and Brazil are going through, there is a volume drop, but that is mainly caused by selling activities, plus these markets. I would say the -- we're a little bit disappointed with the results here, but it is macro effects that are taking place. We're doing what we can, of course, to cut cost and also moving our important projects further on. We have terminals under construction both in Costa Rica; and in Lazaro Cardenas; in Italy and so on. Of course, we want to move these projects forward as much as we can, provided that there's a market for the service. But, all in all, I would say a disappointing result in Q1 in APM Terminals, but caused by external factors. Maersk Drilling continues its very good operational performance. We do expect for the year, as Trond will come back to in a minute, but we do expect a result significantly below last year. But Q1 was very good on the back of good performance, but also on the back of this cancellation of the Deliverer rig in Angola. Not much really to add to what was said or what is already in the text. But, of course, the market continued to be very tough; there's not a lot of market for rigs that are going off contracts. We do believe that we have a very strong proposition to our customers. So we're optimistic on the utilization rates long term and we do have a relatively good order book. But facts remain that when our rigs go off contract, they either go into being idled or they go back working, but then at lower contract rates. So it's a tough market to compete in. And then, on page 10, my last slide before I hand over to Trond, the APM Shipping Services. As I said at the opening, a good performance, given the market situation. We deliver a result of $71 million. The ROIC is relatively low, weighted down -- 6.2%, but weighted down by Maersk Supply Service. But the other businesses are doing well; we had good results in tankers, up from last year. We have a stable result in Svitzer. Damco continues its turnaround, so delivers also, in a quarter that, in forwarding, is very small normally, delivers a small positive profit. So a good start to the year here, given the problems that Maersk Supply Service is facing. And with that, I'll hand over to Trond. Please take us on from here.
Trond Westlie: Thank you, Nils. Good morning from me as well. Going then to page 11 and looking at the invested capital and the returns. No big changes in invested capital during the quarter. We see that we're delivering almost 3% return in a very difficult market. We see that Maersk Line and Maersk Oil having low returns, Maersk Line with 0.7%; and Maersk Oil with a negative of 3% return during the quarter. We also see that both Terminals, Drilling and Shipping Services is delivering decent good returns in difficult markets. So all in all, as Nils mentioned, we're doing decent in a very difficult market. Going then to page 12, seeing the financial framework. Going then to the top left on the cash flow development, we see that the net debt increases with $2.9 billion; very much driven from acquisitions, buyback and the lower operating cash flow. So all in all, we're in acquisition and buyback funding. We're paying approximately $2.1 billion out of the increase of $2.9 billion. Then, as previously mentioned, we also have some provision adjustments of approximately $600 million that drives also the development in the increase of debt of up to $10.7 billion. Not too much happening on the right; not too much happening on the portfolio management investment in growth. On the bottom left, you see that the gross investment is $2.1 billion. But if we take out how the booking is done on the TCB and African Oil, the underlying gross investment during the quarter is $1 billion. Ordinary dividends. Payment of dividends happened in April, so no effects of the first quarter, but the dividend was DKK300 a share. Going then to page 13, an overview of the total consolidated income statement. On the revenue side, a decrease from $10.5 billion down to $8.5 billion; $2 billion down. That is really driven by Maersk Line and Maersk Oil. $1.3 billion from Maersk Line, due to the decrease in -- 26% decrease in rates, but, of course, an increase of 7% in volume adjusts that number. And Maersk Oil of approximately $400 million which is done by a change of oil prices of $20 a barrel, but compensated by 15% in increased entitlement production. So that is really the two main drivers that goes through the changes from the first quarter of 2015 throughout the numbers. So on the EBITDA numbers, going down $970 million, it's basically Maersk Line and Maersk Oil that contributes to the decline to $1.6 billion. Depreciation at the same level as previous years; and then the EBIT number of $490 million. Financial costs of $121 million, slightly up from last year. There are moving elements into this, but mostly we had income in first quarter of 2015 that made the finance costs slightly lower. Otherwise, in 2016 we have some depreciation of currencies, like Egypt and Angola and so forth; and also Danske Bank has a negative effect during the quarter. That leaves us as a profit before tax on $370 million. Tax approximately the same level as last year, on $145 million; and a profit for the period of $224 million. Most of the other numbers I've commented on earlier, except for the earnings per share. That leaves us at $10 a share in this quarter. Going then to the guiding in page 14. The overall guiding for the Group is not changed. We still expect underlying results significantly below last year. The same with capital expenditure, still to be around $7 billion. The guiding on Maersk Line is also the same as previously, significantly below the underlying result, significantly below last year. The global demand for seaborne container transportation, we still expect to -- it to increase, with around 1% to 3%. For Maersk Oil, following the cost reductions, we now expect a break-even result to be reached, with an oil price in the range of $40 to $45 per barrel. We previously had an estimate of $45 to $55 but, as you can see, that is taken down, due to the significant effect of the cost element. The entitlement product, we have an increase in expectation up to -- we now expect, between 320,000 and 330,000 barrels a day. For exploration cost, we have adjusted that expectation to be below last year. For APM terminals, we have also changed our guiding that -- and we now expect the underlying result to be below 2015, due to the reduced demand expectations in oil producing emerging economies, as Nils mentioned. Maersk Drilling, we reiterate our expectation, that result is significantly below last year, that is of course, due to lower day rates and more idle days in 2016. For Shipping Services, we maintain our expectation that the underlying result will be significantly below last year. That is due to the difficult market in Maersk Supply Service. As always, I'll guide you to the sensitivity. There is considerable uncertainty and the market uncertainty adds on to that. But I will guide you to the slight changes in the sensitivity guidance for oil price. Due to the fact that the low oil price and the tax effects of the different countries have an effect, it is not symmetric at these levels of oil price. So that is a slight change to the previous sensitivity guidance. And with that, I'll leave the closing words back to Nils.
Nils Andersen: Yes, not much to add. So I think we can go directly to Q&A.
Operator: [Operator Instructions]. The first question comes from the line of Dan Togo of Handelsbanken. Go ahead. Your line is open. 
Dan Togo: On the container side the volume growth of 7% here in Q1, I understand there is some technicality, as you mentioned, due to comparisons last year. But could you elaborate a bit on in which market you have been particularly strong compared to the underlying market development? That's the first question.
Nils Andersen: Dan, we don't want to go into too much details on that. But if you take the overall development in the markets, you see weakness in Asia, Europe; you see weakness also in Latin America, coming from oil and West Africa. So, this is the situation we're facing and that's why the overall market doesn't grow more than 1%. But we've had pretty good growth all around and, of course, also the regional trades have been okay.
Dan Togo: Okay. And then on the other reserve, Culzean and Sverdrup comes in and lifts 2P; some things go out as well due to the low oil price, as you mentioned. Could you at a gross level give an indication of how much Culzean and Sverdrup together have lifted 2P reserves?
Nils Andersen: More or less that is what comes in last year. So, it's basically the full effect. You can -- 171% is the gross effect, so we're talking of them adding around 300 million.
Dan Togo: Okay. And then on the Maersk Deliverer and impact on drilling, can you give an indication of how much that affects the numbers?
Nils Andersen: Yes, for the year it will have basically zero effect, but it's 60 million plus in Q1.
Operator: And the next question comes from the line of Christopher Combe from JPMorgan. Please go ahead. Your line is open.
Christopher Combe: Just a couple of follow-ups on Maersk Line. To what extent can you maintain such a wide gap between volume and capacity growth? In other words, can you give us some sense of where utilization stands versus P3, for example?
Nils Andersen: I can't give you any specific figures on where the other utilizations are, but our ships are basically full. By that we mean then -- to say that you have to be around 90%.
Christopher Combe: And, lastly, can you give us some color on North American and European inventory levels and if you believe movement in stocks will be a factor in this year's [indiscernible] season?
Nils Andersen: We don't have any -- apart from what we gave you at the yearend, we don't have any real updates on the quarter. But trade, if you look at the trade development, Asia to the U.S., we don't have the March figures, but we believe it's up sort of where we expect it to be, around 3%. In and out of Europe it's still down a bit, mainly because of Russia.
Christopher Combe: And lastly, can you give us some color on the timing of the Tangier investment, when we should expect to see initial revenues and the return profile?
Nils Andersen: I couldn't hear what you were saying, sorry.
Christopher Combe: Sorry, I was asking -- there's a bit of interference. I was asking if you could give us some color on the Tangier investment in APM Terminals.
Nils Andersen: Okay, the Tangier investment. We're just starting. We've agreed with the government to take it over. The investment, it's almost $1 billion and it's coming in over the next five years.
Operator: And the next question comes from the line of Lars Heindorff from SEB. Please go ahead. Your line is open.
Lars Heindorff: A few questions from my side as well. Firstly, regarding the oil and gas business, you are now lowering your break-even levels. Can you give us a bit more detail about where are you taking cost out? And the OpEx per barrel that you have in Q1, is that what we should aim for which is the level for the rest of the year?
Nils Andersen: Well, we're taking cost out, of course, everywhere where we can. We're closing down operations in Angola or reducing it significantly and the U.S., but we're also taking down exploration cost and people in Copenhagen. So, it's a broad effort across the Company and the reduction is around 21% when we come to the end of the year. So, I think we have -- there's still a little bit of effect to come in, but it was a good year -- a good first quarter cost-wise, also driven by the lowering of exploration.
Lars Heindorff: Is this -- Angola and the U.S., is that included in Q1? Did that have an impact in Q1 already?
Nils Andersen: No and it will not have a big impact this year, because of indemnifications for people leaving and so on, but it will help us going forward.
Lars Heindorff: Okay. Regarding Maersk Line, have you made any changes to your rate structure? Now I'm thinking between -- the mix between contract and volumes. Your sensitivity has changed a little bit when we look into the sensitivity table. Could you give us an explanation for that business?
Nils Andersen: I think Trond may give you some flavor on the sensitivity table, that's a little bit more technical. But, basically, what we're seeing is, of course, that the contract rates for this year will be below last year. That means that we will -- it will be more or try to be more exposed towards the spot market.
Lars Heindorff: Okay. And sensitivity?
Trond Westlie: Well, the sensitivity is basically, for containers, the same as previously. So, nothing fundamental has changed. There are, of course, a few assumptions behind there. So, some slight changes occur from quarter to quarter, but basically the same on the container side.
Lars Heindorff: Okay. And the last question regarding the rigs. How do you take care of the risk of impairments when some of those rigs run out of contract? You have a number of rigs running out this year.
Nils Andersen: We do make value in use and a market value calculation on the rigs, both when they're in or out of contracts. Of course, the value in use supported us quite a bit, because we delivered very strong results, both last year and we'll also deliver a good result this year. Then you're talking about assets that are -- will be with us for many, many years, so it's not that sensitive to short term developments But the market rates are going down and that means that, of course, valuations, when we come beyond next year, we will be -- it will be depending on what do we look -- how do we view the future value in use?
Operator: And the next question comes from the line of Neil Glynn from Credit Suisse. Please go ahead. Your line is open.
Neil Glynn: If I could ask two questions, please, the first one with respect to Maersk Line. Obviously, first quarter was profitable and you avoided a loss. But just interested in terms of how you consider the path back to covering your cost of capital over time. Clearly, a healthy mix of volume, price and efficiency will be ideal, but how do you plan with that over reliance on macro help? And then the second question with respect to Maersk Oil. You touched on Qatar and the Qatar reserves aren't in your numbers from mid-2017, but just in terms of contingency planning with respect to Qatar, what is Plan B if you do end up losing half of Maersk Oil's current production by losing out on the Qatar tender and would this significantly change how you think about M&A?
Nils Andersen: Well, I mean the return on Maersk Line to cost of capital delivery is not something we can plan for very specifically, because it's a matter of rates. We have delivered well over the last years, so we assume will get back up there, but it really depends on when the rates improve. We cannot predict it, but of course, we can look at the industry and say that the competitors are doing worse than we're and after having lost money or at least not made any for the last seven years, we assume that also their resilience is lower than ours. That's what we have to support, our hopes of returning, but I cannot give you any more details than that. On Qatar, yes, we're in a tender process. That means that there is a risk that we will lose Qatar, but we don't feel that that should induce us to go and do something dramatic on the M&A activity to replace volume. We would like to grow Maersk Oil if it can be done in a financially sound way, but if it can't then the loss of Qatar doesn't impact our decisions there. We're not looking for major M&A activity irrespective of whether we get Qatar or not. We're looking more for additional adjacent investments.
Operator: And the next question comes from the line of Joergen Bruaset from Nordea Markets. Please go ahead. Your line is open.
Joergen Bruaset: I have two questions. First, it's more general regarding the Maersk Line. We have seen the outlook for a change in market structure and both the reshuffling of alliances and consolidation. Could you give any flavor on your thoughts on how change in market structure will inflict with rates? And should we expect to see more disciplined behavior with new market structure? Second question is, have you seen any change in the general business momentum in, for instance, West Africa and Latin America, on the back of the increase in oil price here in Q2? Thank you.
Nils Andersen: Let me start with the structure. We basically feel that the consolidation in the market is good. We also feel that it's positive when viable stable alliances are formed, because that enables everybody to concentrate on the offering to the customer and not fight exclusively on rates. Of course, we cannot say anything on M&A activity apart from what you already know; we welcome that. On the alliance structure right now we feel that the uncertainty surrounding the other alliances, we're in a stable situation with the 2M alliance, but the uncertainty facing the other alliances, we do feel that that adds to the volatility in the market. Of course, there's one -- seemingly one important alliance being formed now which is the Ocean alliance where CMA and NOL and the Chinese and some others will be in. And then you have the rest of the market that is being led out of the two leading alliances and they will have to find out for themselves what they want to do, either they will have to consolidate in an alliance and give the best possible offer to the customers; or they will have to concentrate on very few long-haul routes or more local regional activity, but that's all up to them. I think everybody will probably have some thoughts on consolidation, at least having the discussion right now. But the small and mid-sized companies will need to consider their strategy very radically, in my opinion, if they are not in an alliance that has a future. Then on the oil, what was the question by the way?
Joergen Bruaset: It was more if you have seen any pickup in business momentum given the sharp rebound in the oil price. Do you see any short term change in behavior or should we expect to see a recovery first when we see oil price moving up to higher levels than we see now?
Nils Andersen: Well, we don't see any dramatic rebound. There are probably a few places where there's a sigh of relief, because the Q1 oil price was really, very, very low and also lower than any that was any reason for it being, apart from short term stock movements. That's positive, but we do not see any change in activity level. I suspect that most oil companies are still busy repairing the damage of going down from $110 to $45, so we don't expect any pickup. But, of course, it gives people a little bit more breathing space to plan for the future.
Operator: And the next question comes from the line of Mark McVicar from Barclays. Please go ahead. Your line is open.
Mark McVicar: I have two or three questions. First of all, I wasn't quite clear from the answer to your earlier question. Do you expect the breakeven on the oil price to go lower than it is now or is the $40 to $45 where it's going to settle at or incrementally can it go under $40?
Nils Andersen: I think that's difficult to answer, because it depends, of course, in our case a lot on the future of Qatar, because that impacts the volumes quite significantly. We feel that we've done a good job and we're now down to this level of $40 to $45 and we'll keep working at it. Of course, our lifting cost across the Group are quite low, divesting the Polvo field in Brazil and concentrating on larger fields we do in general have quite low lifting costs. Cash flow-wise we're well set. At a $40 to $45 oil price we will also have good room for investing in the future, but it's tough to say whether we can reduce much from there.
Mark McVicar: The second question was you mentioned, Nils, a couple of times that your bearing restructuring costs, redundancies and other costs within the different divisions which are not specified. If you added all those together at the Group level what's the sort of run rate, is it tens of millions of dollars a quarter or is it bigger than that?
Nils Andersen: I think for now it's not bigger than that. But it is, of course -- there are relevant costs when you cut the number of employees with the speed that we're doing, yes, you have compensation costs that are significant. If it was hundreds of millions we would probably specify it a little bit better. So we're talking tens of millions.
Mark McVicar: My last question was really for Trond. Trond, you mentioned working capital pressures in a number of areas, could you be a little bit more specific about where you're seeing that and what you're going to be able to do about it?
Trond Westlie: No, when it comes to the working capital, I do think it's the normal pressure of the year, coming out of the yearend, where everybody pushes their working capital for some reason. Then, basically, recouping again in the first quarter and staying there for second and third. When it comes to working capital not any significant changes except for the yearly trend. But when it comes to the provision part, of course that has been more significant this quarter due to the fact of different kinds of settlements, both commercial as well as tax wise during the quarter.
Operator: And the next question comes from the line of Johan Eliason from Kepler Cheuvreux. Please go ahead. Your line is open.
Johan Eliason: I was wondering about APM terminal and the CapEx profile. You obviously guided for the full-year CapEx level on the Group level of €7 billion. But recently you have announced a lot of new projects, you bought this Spanish operator where you promised to spend some CapEx going forward and I think there was one new greenfield in West Africa and then this is Tangiers. How should we think about the CapEx profile of APM Terminals in the coming years? Will it increase steadily? Or what's the plan there? Thank you.
Nils Andersen: The investment level of APM Terminals is quite high at the moment. As long as I think the world economy is under pressure and people are concerned about investment in developing markets, of course, opportunities are more abundant than in the up time. So we will try to keep a good level of investments in APM Terminals which can differ a lot. But I think the relevant level to think of is somewhere around $1.5 billion per year in that company. We'll once in a while also sell a terminal. So it's doesn't go one way. But that's sort of the level I would expect. It can go up to $2 billion per year in periods, but in last year of course -- or this year, of course, with TCB it will go above $2 billion.
Johan Eliason: And this number is including acquisitions then, as I understand it.
Nils Andersen: Yes, because basically the expansion of a terminal business is a mixture of brownfield development, greenfield developments and also buying of existing businesses. So, yes.
Johan Eliason: You have been talking about consolidation in the terminals business, many ports with a number of different port operators. Are you seeing any things possibly happening there on this front in the near term?
Nils Andersen: I don't recall that we've talked specifically about consolidation in the sector. I think it's a -- obviously, we have a plan to expand. But there's also ample room for more privatizations and other structural changes in the port landscape. So I don't think we need to go out and do consolidation in the sense of working with other very large operators. CCB was what we think and still think fortunately, a nice opportunity to get a stronger foothold in some interesting areas. But it's just sort of I think a normal -- I wouldn't call it organic, because it's, of course, a $2 million terminal operation we bought. But it is in line with our normal expansion strategy. So tog in sort of adjacent acquisitions and individual terminals will be the way forward.
Johan Eliason: And then just on the costs in Maersk Line, you said they were probably some catch-up effects in the cost development from Q4. How should we look at the unit cost in the coming quarters? I think you talked about 3% down on an annual basis. So is that the rate we should have for the coming quarters or --?
Nils Andersen: I can't answer that question, simply because we wouldn't give it if we had it. But we will continue to focus on reducing cost. When I said -- or pent-up effect from last year, it wasn't in the sense that we had some costs that were not -- that were over accounted for last quarter. But simply that we actually felt that we should do better on the cost side and, certainly, the effect came in the first quarter. So it's many moving parts in that.
Operator: And the next question comes from the line of Marcus Bellander from Carnegie. Please go ahead. Your line is open.
Marcus Bellander: Just a housekeeping question for me. In Maersk Line you usually pay taxes of between, say, $20 million and $50 million per quarter. But in Q1 2016 there was a tax gain of $21 million. What caused that tax gain?
Trond Westlie: [Indiscernible] to the provision adjustments. As I said we do settle some tax issues and do revaluation on our provisions sometimes and that comes into that bucket basically.
Operator: And the next question comes from the line of Angus Tweedie from Bank of America Merrill Lynch. Please go ahead. Your line is open.
Angus Tweedie: Two questions from me. Firstly, you mentioned that you had low-time charter in Q1. Can you just remind us what proportion of your fleet is on time charter at the moment? And how that's moved over the last 12 months? And then just on the alliances to touch back on this, in terms of your 5% EBIT margin gap, how comfortable and how realistic do you think that will be with a similar size peer out there competing with you? Thanks.
Nils Andersen: I can't remember the exact percentage of time charter tonnage, but it's about 300 vessels, so it's about half the vessels. If I'm not mistaken the time charter proportion in tonnage is somewhere in the high 30%-s. So that would be my best guess. There is not been a lot of movement over the last 12 months. But of course, when we go into new large vessels that we think are strategic and long term owned, then we buy them more than some of our competitors do. So in terms of consolidation I think it's a constant gain to battle to stay ahead of the competition. We're still helped by being larger than the competitors. But we also have a number of other factors, such as our ships being more fuel efficient, not because they're larger, because they're not. But because we invest more into the fuel-saving technologies that are available than the average shipping company. So I think there are many factors in staying cost competitive. Most importantly, of course, being also willingness to not grow your fleet ahead of what you realistically forecast to be the market development and your opportunity to maintain your share.
Operator: And the last question comes from the line of Thijs Berkelder from ABN AMRO. Please go ahead. Your line is open.
Thijs Berkelder: What I still do not fully understand is, let's say, the cash-flow statement in Q1. You talk about a provision adjustment; I think especially Maersk Line. Is that around $600 million? Did I understand that correctly? And then secondly, can you maybe give us a bit of flavor on A.P. Moeller - Maersk's strategy going forward? Last year more or less was a kind of black swan in a sense that, from a holding perspective, your operations were not balancing each other out. Is there a discussion ongoing to maybe add a new division in, let's say, a totally different industry? So can you maybe explain there?
Trond Westlie: So let me start on the cash-flow statements. If you then go back to the slide of number 12 and basically look at the last portion of that bridge, of the $1.9 billion, it's basically, as a result of the bridging of that slide since we're starting on EBITDA number and not on an operating cash flow number, changes in the balance sheet when it comes to provisions goes into that number. Total of that number of all provision changes is around $600 million during the quarter which we did expect and were planning for.
Nils Andersen: And to the strategy, I wouldn't say it's black swans, because we're in very volatile businesses. I think we hoped probably for the oil business to be a little bit more stable and resilient than it proved to be. But with shipping we're used to a high level of volatility. Of course, we do all the time look at our portfolio of businesses and we try to -- I wouldn't say we try to reduce volatility, but we try to make sure that if we're in volatile businesses that the average return is acceptable and we can make over the cycle a good return. So that means that if we don't like a business, yes, we will have a look at how we can structure differently. We're also looking for entering other areas of activity. I think, for now, we probably feel that we have a lot of good investment opportunities in our own businesses or in our present businesses. But we're looking, of course, how we can build additional activity in adjacent areas or in areas where we feel we have special expertise to operate. So we do all of it, but we don't really think it's a black swan as such. It's a down market in the container business. That will recover at a point in time. Then our job is to make sure we're optimally prepared and, for instance, in the oil and terminal business also taking advantage of the downturn.